Operator: Greetings, and welcome to the Primerica First Quarter 2025 Earnings Call. At this time all participants are in a listen-only mode. The question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. It is now my pleasure to introduce Nicole Russell, SVP, Investor Relations. Thank you. You may begin.
Nicole Russell: Thank you, operator, and good morning, everyone. Welcome to Primerica's first quarter earnings call. A copy of our press release, issued last night along with other materials relevant to today's call are posted on the Investor Relations section of our website. Joining me on our call today are Chief Executive Officer, Glenn Williams; and our Chief Financial Officer, Tracy Tan. Our comments this morning may contain forward-looking statements in accordance with the safe harbor provisions of the Securities Litigation Reform Act. We assume no obligations to update these statements to reflect new information, and refer you to our most recent Form 10-K filing as may be modified by subsequent Form 10-Q for a list of risks and uncertainties that could cause actual results to materially differ from those expressed or implied. We also reference certain non-GAAP measures, which we believe provide additional insight into the company's financial results. Reconciliation of non-GAAP measures to their respective GAAP numbers are included in the our earnings release. I would now like to turn the call over to Glenn.
Glenn Williams: Thank you, Nicole. Good morning, everyone. Thanks joining us this morning. In the first quarter of 2025, Primerica delivered strong financial results despite headwinds from external factors, including sustained cost of living pressures and heightened economic uncertainty during the quarter. Starting with a snapshot of financial results, adjusted net operating income for the quarter was $168 million, up 14% year-over-year, while diluted adjusted operating EPS increased 20% to $5.02 These results reflect the continued strength within our investment savings product business and the steady contribution from our Term Life business during the first quarter of 2025. The predictability of our business allowed us to return a total of $153 million to stockholders during the quarter through a combination of $118 million in share repurchases and $35 million in regular dividends. The strength of our business model, our commitment to the sales force and the growing need for the financial education provided by our independent sales representatives, resulted in record success during 2024. Following an outstanding year, we entered 2025 with solid business fundamentals and a clear understanding of the financial pressures affecting middle income families. The recent increase in economic uncertainty has impacted our marketplace, pressuring recruiting and Term Life insurance sales during the first quarter. And since April, we're starting to see some resistance to investment sales momentum. Looking at distribution, we recruited a total of 100,867 individuals during the first quarter, representing a 9% decline year-over-year. Similarly, new life licenses declined 5% versus the prior year period. Both recruiting and licensing activity were softer-than-expected as uncertainty appears to be contributing greater caution and decision making. That said, it's important to note that, both recruiting and licensing numbers are historically strong and continue to fuel growth in our sales force. The total number of life license representatives grew slightly since year end and is up 7% compared to March 2024. We remain committed to growing our sales force and continue to expect around 3% growth during 2025. Looking at Term Life results, we issued 86,415 new Term Life policies during the first quarter, representing $28 billion in new Term Life protection for our clients, which was in line with prior year levels. Productivity at 0.19 policies per rep was just below our historical range. We believe that, today's challenging environment is particularly difficult for representatives to navigate, especially those with less sales experience. Considering these dynamics, we expect 2025 full year policies issued to be broadly in line with 2024 levels. At quarter end, we had a total of $957 billion of protection in place for middle income families, and we are pleased to see that persistency has remained stable again this quarter. Turning next to the ISP segment. Total sales during the quarter were $3.6 billion, up 28% year-over-year, driven by strong demand across the board, including U.S. and Canadian mutual funds, variable annuities and managed accounts. Net inflows for the quarter were very strong at $839 million versus $274 million in the prior year period. Client asset values ended the quarter at $110 billion, up 6% year-over-year and down 2% during the first three months of 2025 due to negative market performance. Our securities license sales force has done a good job keeping clients focused on their long-term goals and the importance of staying invested despite heightened market volatility. Preliminary sales results in April, while positive, are beginning to reflect the effects of continued market volatility and broader economic uncertainty. Considering our strong outperformance during the first quarter, we continue to expect full year sales growth in the mid-to-high single-digits range during 2025. Our Mortgage business showed strong sales growth in both The U.S. and Canada during the first quarter of 2025. In The U.S., we had $93.5 million of closed loans, up 31%. We now have 3,269 licensed mortgage loan originators in 33 states. Our referral program in Canada had $43.3 million of closed loans, up 78%. While both programs are still relatively small, we believe their importance will continue to grow over time. The resilience of our business model demonstrated over nearly 50 years, combined with our unwavering commitment to help new income families achieve financial independence, are the key drivers of our success. There will always be a need for financial education among underserved families, a group that is often overlooked by the broader financial services industry. This reality underscores the importance of our mission and the opportunity that lies ahead. We have confidence in our model and in our sales force's ability to continue meeting the needs of the communities we serve. With that, I'll hand it over to Tracy for the financial details.
Tracy Tan: Thank you, Glenn, and good morning, everyone. Starting with Term Life segment, operating revenues rose 4% year-over-year to $458 million, driven by 5% growth in adjusted direct premiums. Pretax operating income was $147 million, up 6% compared to the first quarter of 2024. All key financial ratios were in line with our expectations and consistent with the prior year period. These included the benefits and claims ratio at 58.2, the DAC amortization and insurance commissions ratio at 12%, the insurance expense ratio at 7.7% and the operating margin at 22.1%. Overall, that remains above our long-term expectations, which we believe reflects the ongoing financial impact from higher cost of living pressure on middle income families. Over the last two quarters, last trend stabilized with persistently on policies issued during the last year, largely in line with our long-term assumptions. We expect that overall persistency will continue to normalize over time. Turning to mortality. As noted on a number of occasions last year, claims experience continue to trend favorably relative to expectations. Given the relatively predictable nature of our Term Life business, we reiterate, our full year 2025 outlook to be consistent for ADP growth and key financial ratios. We expect ADP to grow around five percent, the benefits and claims ratio at around 58%, the debt amortization and insurance commissions ratio at around 12% and operating margin around 22%. I want to remind investors that, insurance expenses are subject to some seasonal variances. I will provide additional guidance on our expectations for the second quarter on a consolidated basis in a moment. Turning next to our Investment and Savings Product segment. Operating revenues of $291 million increased 19% from the prior year period, driven by both higher sales and growth in client asset values. Pretax income rose 24% to $81 million. Sales based revenues increased 25%, slightly outpacing 22% increase in revenue generating sales, primarily driven by strong demand for variable annuity. Asset based revenues increased 18% year-over-year compared to 14% increase in average client asset value, as we continue to benefit from a mixed shift towards product, on which we earn higher asset-based commissions, including U.S. managed accounts and Canadian mutual funds sold under the principal distributor model. Sales commissions for both sales and asset based products increased in close correlation with revenues. The Corporate and Other segment incurred a pretax adjusted operating loss of $8 million, compared to a loss of $12 million in the prior year period. The year-over-year change was driven by an increase in net investment income, primarily due to growth in the size of the portfolio. Finally, consolidated insurance and other operating expenses were $163 million, up 4% year-over-year. The growth in expenses was primarily driven by higher variable costs associated with growth in our Term Life and ISP segments and increased employee compensation costs from annual merit increases. First quarter expense levels were a couple of million dollars lower-than-planned due to timing of technology investments and other expenses. We expect these projects to ramp-up in the coming months. As such, we're maintaining our full year outlook for expenses to increase by around $40 million or 6% to 8% in 2025, with second quarter growth consistent with our full year guidance. Our invested asset portfolio remained well-diversified with a duration of 5.1 years and an average quality of age. The portfolio had a net unrealized loss of $169 million at the March, modestly better than prior year end as rates generally decreased during the quarter. We continue to believe that the remaining unrealized loss is a function of interest rates and not due to underlying credit concerns. And we have the intent and the ability to hold these investments until maturity. We continue to generate significant deployable capital, reflecting the strength and consistency of our capitalized distribution model. The predictability of our cash flow is driven by our large in force block of Term Life insurance policy, our use of reinsurance, which substantially reduces the mortality risk exposure and our fee-based ISP business, which requires very little capital. This model supports our ongoing commitment to returning value to stockholders, while also enabling us to invest in long-term growth. Our holding company ended the quarter with $407 million in cash and invested assets. Primerica Life estimated RBC ratio was 470%. We remain confident in our ability to sustain capital strength, while supporting ongoing growth initiatives and continuing to return capital to stockholders. With that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ryan Krueger with KBW. Please proceed with your questions.
Ryan Krueger: Hi, thanks. Good morning. My first question was on the dynamic you're seeing between Term Life sales and ISP sales. Just seems striking that you're seeing some pressures on Term Life given economic uncertainty and cost of living pressures, but then very extremely high production and ISP. What do you attribute this to?
Glenn Williams: Yes, Ryan. One of the beauties of our complementary business model is that, our two main lines of business often react differently under the same circumstances, and that gives us a unique balance. You're right, they're pretty much at an extreme right now, as we have our life insurance momentum decelerating, a very strong quarter in ISP, although we're seeing some deceleration due to the uncertainty. Cost of living, as we've talked about before, impacts our life insurance business fairly quickly, because families -- often no income families are making priority decisions on whether to buy and keep a term policy. If they have some additional disposable income, they might start a systematic investment plan, generally fairly small. And when money gets tight, those two things come into question. The larger sale business, particularly rollover business and movement of larger blocks of money, is not impacted nearly as much by cost of living. People aren't making a rollover decision based on did the cost of gas go up this month. They're not. They're looking for a better investment or different features of the investment. One of the things we've mentioned before is our variable annuity business is particularly strong and that's because of the guarantees. Often there's a flight to guarantees in time of uncertainty. We are seeing some of that. So the businesses do react differently, specifically to cost of living. The uncertainty tends to be a headwind for both, because when people are not sure what's about to happen, they tend to wait-and-see. And that can impact Term Life sales. It can impact even recruiting as we've seen. And it's beginning to slow down some of the movement of money, even the rollovers and transfers in the ISP business. That said, I hope that, uncertainty is can be a relatively short phenomenon. If we can get some clarity and direction, some decisions about are tariffs in or tariffs out, what are their impacts and so forth, hopefully, this is a fairly short term dilemma that could be resolved during this year and then we can get some more certainty and clarity going forward.
Ryan Krueger: Thanks. And related follow-up, 5% to 10% ISP sales outlook for the year, that's certainly much lower than you had for the first quarter. Are you kind of assuming that, there's some ongoing headwinds the rest of the year because of the volatility that we're seeing and that's embedded in your outlook?
Glenn Williams: Yes. We make the outlook based primarily on today's conditions because we're not sure what might happen next. I mean, uncertainty is the word that's going to be used at a record pace, I think, this quarter by companies and others. So we tend to look out. But we also had extremely strong last two quarters last year. So the comparisons to try to get the same percentage growth that we saw in the first quarter result in much bigger numbers. So it's the combination of the very strong finish last year and the comparison in the kind of decelerating percentages, as well as assuming that the disruption and uncertainty we're experiencing today is probably going to continue for a while. I hope it doesn't, but we make our plans assuming it will.
Operator: Our next question comes from the line of Wilma Burtis with Credit Suisse. Please proceed with your questions.
Wilma Burtis: Hi. Good morning. This is a little bit of a follow-up on Ryan's question, but you've talked before about how your clients tend to be a little bit slower to react to market news. Just can you just talk about how people have been thinking about things and how you're seeing that now, especially in April? Thanks.
Glenn Williams: We do believe, Wilma, as you point out, that, in general, most of our clients react a little more slowly, particularly the middle income clients. But even those that have a fairly large assets, we always teach long-term investing, buy and hold most of our accounts by far are retirement accounts, so they have long-term time horizon. So we're not in an environment where people are moving in and out, like day traders or other more frequent traders might be. So I would expect our people to buy and hold and react more slowly. We do see that. But, after the noise gets so loud or lasts so long, we do people see people start to take a wait and see attitude, and that does start to slow down some of the momentum. So I think it's catching up with us now. I do think that, again, it could be short-lived, if we get some clarity quickly. But we're assuming that, we're going to be under the current conditions for most of this year as we make our plans going forward.
Wilma Burtis: Thank you. And then, can you just talk a little bit about the recruiting environment or a little bit more about the recruiting environment, especially going forward? Is there maybe a situation where the Primerica opportunity becomes more attractive, as people maybe look for a little bit more income or that kind of thing? Thanks.
Glenn Williams: Sure. As we've talked about many times before, some disruption and dissatisfaction actually helps our recruiting. So when people are frustrated or they fear for job loss about job loss, they look for alternatives. And I think we've benefited from that over the last few years. We do need to remember that, the uncertainty is new, but the cost of living pressures are not new. It's something that has people and the family has been dealing with for a number of years. And so -- but there is a point, I believe, where when you just don't know what's going to happen next. You just stop and think a little longer. And that's what we believe we're seeing both on the recruiting side compared to last year is people are just being a little more consideration, a little more thought, whether they're buying if money is tight, whether they're buying a term insurance policy or if they're about to invest the effort, there's very little money, but there's tremendous effort in building a business and kind of exercising that entrepreneurial spirit, they're in a wait-and-see mode. And again, it's possible that this could be short lived, that clarity could come quickly, but we're assuming it lasts for some time. And so, that's why we've taken the edge off of some of our expectations for the year. But, on the other side of that is once clarity does come back, people remember the disruption and that becomes a recruiting tailwind. So when we do get some clarity, people start feeling better, money is not quite so tight, the future direction is not quite so cloudy. We will remind people what they just went through. You don't want to experience that with no control. You want to take control of your future, and it becomes a recruiting message. So, we will turn a positive into a negative whenever we can, when it comes to delivering our message of our entrepreneurial opportunity.
Operator: Our next question comes from the line of Jack Matten with BMO Capital Markets. Please proceed with your questions.
Jack Matten: Hi, thank you. Good morning. Just one more follow-up on the ISP growth outlook. I'm just curious, are you seeing any particular products more impacted than others? I mean, I know in recent quarters, you've been seeing a mix shift towards more higher margin products. Just wondering how we should think about that dynamic moving forward?
Glenn Williams: Yes. As we're accustomed to seeing, Jack, when things get bumpy, the guarantees of variable annuities and index-linked variable annuities become very attractive. And we are seeing that as sort of our lead product that we've sold for a long time. It's a mix shift in that direction. Our managed account business is a newer business and it's a fast-growing product line, not just in Primerica, but in the industry. And so we're seeing good percentage growth in that simply because it's new and it's a great addition to our product line. If we call it new, it's been a decade, but it's newer than the other product lines. So that's what we're seeing is, we're seeing the faster growth in VAs because of the guarantees and then we're seeing some fast percentage growth in our managed account, because it's a newer smaller business that's got some really great momentum.
Jack Matten: Got it. Thank you. And just one on capital, can you just talk about what drove the nice uptick in the RBC ratio to 470 this quarter up from 430, I think last quarter. Was there anything notable going on that drove that result?
Tracy Tan: Good morning, Jack. On the RBC ratio and our capital position, overall, our RBC ratio is a function of some of the also state regulatory requirements for where we domicile, and sometimes we have some variation on that. But overall, we believe in having strong capital position, both for our insurance businesses as well as for our overall company. So when you look at the RBC ratio, obviously, there's some quarterly ups and downs variations. But overall, our line of thinking is that, we need a strong capital in order to support our growth, but more importantly, also have a strong rating. And in the time of any sort of potential uncertainty, our capital position is very important. And you also look at the HoldCo capital that we have. By and large, we do believe that, given any sort of growth for the long-term as well as for facing any sort of potential downturn, we have the resiliency and the strong capital position to absorb any sort of uncertainties and downside risks.
Operator: Thank you. Our next question has come from the line of John Barnidge with Piper Sandler. Please proceed with your questions.
John Barnidge: Good morning. Appreciate the opportunity. My question here is, how do you view the health of the economy in Canada? You talked about moderation in sales in April, I believe. Is that experience any different between your U.S. Business and your Canada business?
Glenn Williams: I think, John, speaking as an expert who lived in Canada for 15 years, but I'm not really an expert, I think there are more similarities than there are differences in the countries in most questions, and I think this is one of them. I think the two economies are very similar. There's uncertainty in both, although one segment of uncertainty has been removed with the election has done in Canada. So that give us clarity of who the leadership is. But we have a great business in Canada. We've been doing business there 39 years. We have a very strong and experienced leadership team, both in our sales force and in our corporate office. And unfortunately, we're viewed by Canadians as a Canadian company, since we do have the strong outpost there. So we're anticipating that, the timing might be a little different in the impact of some things, but it's going to be a very similar set of dynamics. Our business in Canada generally reacts very much like our business in The U.S. The two investment businesses, for example, are tracking very close to each other in growth. I would say that, our Distribution Building and Term business has been exceptionally strong this year in Canada following a period coming out of the pandemic where Canada reacted more slowly, so they're catching up. Again, there are a handful of differences, but, at the same time, we would expect the results to be similar in direction and in quantity. So we're just as optimistic about the future in Canada as we are here.
John Barnidge: Appreciate that answer. And my follow-up question, in light of a dynamic macro environment, how do you think about your presence in the market repurchasing stock versus maybe your expectations coming into the year? Thank you.
Tracy Tan: Good morning, John. In terms of stock purchase program, we have announced the program for 2025 at $450 million and there's a nice healthy growth from prior year. The way we look at the repurchase program is to provide consistent, resilient and predictable type of return on capital for our stockholders. So we typically try not to play and time the market, and we also like to be able to provide the type of strength on the ability to return, based on multiyear stress test as a premise. So we don't at current point believe there's any risk to our program that's announced for 2025 and our thesis really is to have a predictable type of pattern, which is very helpful for investors.
Operator: Thank you. Our next question has come from the line of Mark Hughes with Truist Securities. Please proceed with your questions.
Mark Hughes: Good morning, Mark. Good morning, Glenn. Good morning, Tracy. The Corporate segment, doing better. It looks like just higher net investment income. Was there anything unusual in this quarter or should that higher allocated net investment income carry through the balance of the year, and help to support a better corporate expense or corporate performance?
Tracy Tan: Yes, Mark, our Corporate C&L segment really benefited from the investment portfolio. This is really a combination result for several things. One is the growth of the portfolio itself and that has been on a pretty healthy trajectory in the past. The second part is, we have moved off some of our investments as the securities mature into a slightly higher yielding type of investments, without giving up on the conservative risk profile we have. The majority of it is really fixed income portfolio that well matches our life side of the business in terms of durations, in terms of risk profile, and we are relatively conservative. However, that being said, we are pursuing some higher yields without giving up the risk and having that good balance. And I see this as a pretty good predictable around $40 million a quarter type of up or down in that range support for our C&L segment. And I also do believe that, our investment portfolio in general is a good way of keeping our capital very strong continuously, while having a very-balanced and low-risk profile that supports our distribution business model and not having that being the main relying focus on our revenues.
Mark Hughes: And then when thinking about the Term business, did you provide guidance? I think in the past you've talked about growth in adjusted direct premium for instance. Any reason to think the outlook has changed? I think the new sales perhaps stabilizing is a little bit different, but any updates on those performance measures within Term Life?
Tracy Tan: Yes. On the Term Life ADP guidance, even though we have seen some uncertainty and there are some headwinds on the recruiting licensing side, given the large size of our in force block, any given year of new policies and premium is a very small slice of the overall income on the revenue that we bring in from Term Life. So considering the very stable nature of that business, there's really no impact materially this year. And I think our ADP guidance is going to be very consistent around 5% of growth. And also keep in mind that, when we give out our guidance for ADP, we have already considered the last situation. So that's already been factored in all of that situation as well. So it's pretty consistent. It's a very good defense business, and you could see that, given also the capital-light nature, very good defensive business in the long-term.
Mark Hughes: Thank you for that. And then maybe one more quick one, Glenn. I think you've touched on this, but the annuity sales versus the mutual funds seems like more broadly, there's been growing demand for annuities as protection products, volatile markets make those more attractive. Do you think maybe that outperforms in this go around relative to your earlier experience?
Glenn Williams: I'm just thinking in comparison to early experience. So, this is a fairly common phenomenon. When things get a little bumpy and uncertain, we see it in the mix shift toward VAs. Not sure whether it will be more extreme this time. I think it depends on how long this goes on. The longer uncertainty continues, kind of the more impact it has to a certain extent, I think, on the investment side at least. So I'm not sure, it's much more extreme than it has in the past. It's a pretty natural phenomenon. We expect it. We see it, but I don't think it's too much different from the past.
Operator: Our next question comes from the line of Dan Bergman with TD Cowen. Please proceed with your questions.
Dan Bergman: Thanks. Good morning. I guess just a follow-up on your prepared remarks. I wanted to see if you could give a little more detail around what you're seeing regarding lapse rates across the term book. It sounded like they stabilized overall, but any more detail around what you're seeing, any differences across mortgages would be very helpful. And I know it sounds like you expect normalization over time, but just given the recent uncertainty, is there a risk that this could take a step back before it gets better? Just any thoughts on the outlook, given that the uncertain environment would be much appreciated.
Tracy Tan: Yes. Good morning, Dan. Regarding lapse rates, the first thing I will say is that, we continue to see higher lapses across multiple durations than our long-term actuarial assumptions, which was really the pre-pandemic level of lapse rates. And also be reminded that, during the pandemic period, we had extraordinarily low lapse rates. So some of the elevation in the recent past, since pandemic had been the run-off of those relatively uncommitted population. But our recent, within, the last year of new policies have consistent lapse rates as our expectations. So cumulatively, persistency also is in line with pre-pandemic period. This is when you consider the very low lapse and the very high lapse. Over the long haul, when you look at it cumulatively, it's still very reasonable to our expectations. Now the last couple of quarters, we also have seen stabilizing trends. For example, last quarter has been a decrease from the recent past. So that's also a good trend that we are observing. Obviously, we're going to need to give it a little bit more time. Even with the uncertainty that is being faced by middle income families, we are still already considering some of those higher lapses in our ADP guidance. So none of that is going to be new. We obviously over time, we expect the trend to return to normal. That's really just relying on how quick the economic can return for the normal fee for the income family. And we know that, in past financial recession type of situation, it may take a few years for the middle income families to get back on their feet. But by and large, we've considered a lot of those higher elevations in our guidance. So we see that, for the year, our ADP growth outlook remains the same, and we also do believe that overall cumulative trend is within our expectations. Hope that answers your question, Dan.
Dan Bergman: Yes. It's very, very helpful. Thank you. And then maybe one more on the ISP business, if I could. I guess despite the market volatility, if my math is right, I think your full year guidance still implies something like flattish sales growth for the rest of the year against a pretty tough comp given that you had nice growth in 2024. Is there any way to frame, what would it take in the markets for there to be a more material decline in sales over the rest of the year? I mean, if that's a business that's shown some sales volatility in the past, for example, in 2022, you had a drop in sales after a really strong year in 2021. So how confident are you that this 2024 sales level is relatively sustainable going forward? A little bit of a broad question, but any thoughts would be much appreciated.
Glenn Williams: Yes. As we kind of view how our business has been reacting, again, some of these pressures that we're seeing this year or there last year, the uncertainty, I think, is new. And so, that's what we're trying to layer on and assess. But, we don't have an exact formula that says, if the market drops 20%, here's what we'd expect, that would definitely impact us. But we're assuming that, we get sort of a flattish market, net, net. It seems like it goes way up and goes way down from day-to-day or week-to-week. And then, if it were down 5%, ten %, you would see more slowing of our business. But to be able to gauge that and do the math or you've done the math for the full year in your head very well, I think. But to try to give sensitivities to that is a little trickier. And so, that's why we'll update by quarter the full year number and then you can see what that means we're thinking for the coming quarters as you kind of back into them. So, we don't try to predict it. It would take something more severe than what we're seeing. Exactly how to quantify that is pretty difficult.
Operator: Our next question is coming from the line of Suneet Kamath with Jefferies. Please proceed with your questions.
Suneet Kamath: Good morning, Glenn. So I wanted to go back to your prepared remarks. I think it was when you were talking about the Term Life business. I believe you used the word resistance, that we're seeing some resistance, which, I don't know, to me it sounds like a stronger word than sort of phrasing we're seeing people take a pause. So I just want to make sure I'm not reading too much into that, and if you could provide any color in terms of what that means, that would be helpful. Thanks.
Glenn Williams: Yes. And this is us trying to quantify human behavior, which is a little tricky at best. But, what we're seeing in addition to the cost of living pressures, which we have been facing for a number of years now and have successfully overcome, I think our results would have been better in past years if it had not been for the cost of living pressures, but we still were able to produce some growth. Now we have the uncertainty, which creates the wait-and-see kind of behavior is, what we believe we're seeing. You're right. How to quantify the impact of the word resistance is -- but what we see is we've got a growing sales force, which means we've got new salespeople in the marketplace, overcoming objections is part of what salespeople do, but this is a particularly hard objection to overcome saying, I'm not sure what the economic situation means for my job or for my family. And therefore, check back with me next quarter, check back with me in a few weeks, particularly hard to overcome, particularly for a brand new salesperson. And so, whether we characterized it perfectly using the word resistance, it's another objection that a salesperson has to deal with, sitting down with families and helping them through the very tough process of prioritizing tight budgets. And so that's a little different. That's a little new, and that's what we're seeing that's different this year. Again, uncertainty can resolve itself with certainty, or it can resolve itself that people just get used to it and start to ignore it after a period of time. And so, we do have some optimism that, this doesn't go on forever, but it is a phenomenon we believe we're seeing in the numbers right now, and that's how we try to express it.
Suneet Kamath: I got it. That makes sense. So resistance in terms of customers, not in terms of recruits is kind of the message.
Glenn Williams: Exactly. And you even get you do even get some recruits with wait-and-see. If you're thinking about starting a new business and the effort that it takes to get a new Primerica business up off the ground and you're not sure what the economic environment is going to be, that's hard at the best of times. But it looks like, if I have an opinion for the next three months, that might be particularly hard. I might say, let me start, later when conditions are better. So you get humans are looking for a reason to procrastinate in general, and uncertainty provides a great one. And so, it's just another -- it's not the first time we've seen this. It won't be the last time, but it's just an extra dynamic to deal with in the marketplace that's relatively new this year.
Suneet Kamath: That makes sense. And then I guess in response to Ryan's question, you talked a little bit about the complementary nature of Term versus ISP and these offsets that exist. But it feels like maybe as you move into 2Q, you may lose some of that, just because markets were generally pretty positive in the first quarter. So I just want to make sure I have that right. And then, if that's the case, is it -- are you guys thinking about anything that you might want to do, on the cost side or anything like that, or is it sort of too early to kind of take those steps? Thanks.
Glenn Williams: Sure. On the ISP side, we had a very strong April, not at the percentage growth that we reported in the first quarter, but still significant growth. And so, we're assuming that, that momentum continues for some period of time. It doesn't just turn on a dime and stop one day. So, we got a pretty good read on how we think this quarter shapes up. And so, there are no cliffs in sight, I would say that. And so, we think we've got a little bit of a tail. Obviously, we're working to generate momentum in our Life business and overcome those objections we just discussed. We run a very disciplined and very lean organization expense wise. And what that means is that, we don't just have a lot of fat. We can go and let's just drop a few million dollars of expenses. Now we do have a game plan where we can reduce expenses as necessary, if it became necessary. But it's not something like we just got unimportant expenses that we can just lift out of here. It's because we run a discipline ship all the time, it makes it a little harder to reduce expenses when necessary. We can do it. We have a plan to do that, but we believe that, we'll be able to overcome the headwinds and that's not at the top of our list for our game plan for the rest of the year.
Operator: Thank you. We have reached the end of our question-and-answer session. And with that, I would like to bring the call to a close. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.